Operator: Good morning, ladies and gentlemen, and welcome to the Franco-Nevada Corporation Q3 2020 Results Conference Call. [Operator Instructions]. This call is being recorded on November 5, 2020. I would now like to turn the conference over to Candida Hayden. Please go ahead.
Candida Hayden: Thank you, Veronica. Good morning, everyone. Thank you for joining us today to discuss Franco-Nevada's Third Quarter 2020 Results. Accompanying this call is a presentation, which is available on our website at franco-nevada.com, where you will also find our full financial results. Sandip Rana, CFO of Franco-Nevada, will provide a brief review of our results; Eaun Gray, VP of Business Development, will provide a business development update; and Paul Brink, President and CEO of Franco-Nevada, will comment on our growth outlook. This will be followed by a Q&A period. Our full executive team is available to answer any questions. We would like to remind participants that some of today's commentary may contain forward-looking information, and we refer you to our detailed cautionary note on Slide 2 of this presentation. I will now turn over the call to Sandip Rana, CFO of Franco-Nevada.
Sandip Rana: Thanks, Candida. Good morning, everyone. Third quarter 2020 was a return to some form of normalcy for Franco-Nevada, as we saw most of our royalty and stream interest resume normal operations by the end of the quarter, other than the Golden Highway assets, which are still on care and maintenance and are expected to remain so for the remainder of the year. Our partners at our royalty and stream assets have done a great job managing the COVID-19 pandemic and implementing the necessary safety protocols and procedures, while still delivering excellent operating performance. With the increase in precious metal prices and the return to normal operations, Franco-Nevada delivered a very strong financial quarter, achieving a number of financial records. On Slide 3, we have highlighted the gold and gold equivalent ounces for the 3 months and 9 months ended September 30, 2020, and 2019. Overall, despite the impact of the pandemic, GEOs sold were fairly stable for both periods shown, with 134,817 in third quarter 2020 compared to 133,219 a year ago. Gold ounces represent 80.6% of GEOs sold for the quarter compared to 76.4% a year ago. For the quarter, we had strong performance from a number of key assets. Four key contributors were Cobre Panama, Candelaria, Antapaccay and Guadalupe. Cobre Panama resumed production in early August and reached full production ahead of schedule. The ramp-up has gone well, and we look forward to the growth Cobre Panama will deliver for the company in the coming years. Candelaria was a strong contributor, resulting in just over 20,000 GEOs sold compared to 16,573 a year ago. It was the largest revenue generator for Franco-Nevada during the quarter being 14% of total revenue. Subsequent to quarter end, Lundin Mining temporarily suspended operations due to labor union issues. This suspension will impact a portion of the gold and silver deliveries in the fourth quarter for the company. Our stream on Guadalupe in Mexico with core had a strong quarter, delivering 23% more gold ounces than a year ago, due to mining of higher-grade, while Antapaccay GEOs sold were relatively flat year-over-year, but significantly higher than second quarter 2020. One of the strengths of Franco-Nevada is the depth of the portfolio. During a rising commodity price environment, our net profit interest royalties typically do well. This has been the case for the Hemlo NPI. Franco-Nevada has a 50% NPI on the Interlake underground deposit within Hemlo. The company earned approximately 13,000 GEOs or $23.9 million in revenue from Hemlo during the quarter. The increase was due to the rising gold price, along with high production on the Interlake plains. It can be difficult to predict what the NPI amount will be each quarter due to the nature of the calculation and timing of incurring development costs. Franco-Nevada did record approximately $13 million in revenue for the NPI that was related to prior periods. With respect to silver and PGMs, the company did recognize less GEOs sold during the quarter compared to the prior year. This was in line with expectations. With respect to silver, please note that the Antamina deliveries during third quarter were based on production from second quarter, which had been impacted by the pandemic. Slide 4 highlights our total revenue and adjusted EBITDA for 3 quarters shown. As you can see from the bar charts, revenue has increased significantly compared to the comparable quarter shown. The $279.8 million in revenue in third quarter is a record for the company, as is the adjusted EBITDA of $235.1 million for the quarter, a margin of 84% was achieved. The average gold price for the quarter was $1,911 per ounce compared to $1,474 per ounce a year ago, a 29.6% increase. This increase in gold price, combined with the increase in gold ounces sold in the quarter resulted in gold revenue increasing from $151.1 million in Q3 2019 to $206.1 million, a 36% increase. Third quarter also saw a rebound in energy revenue as it increased from $14.6 million in Q2 2020 to $22.8 million this quarter, as we saw a rebound in oil and gas prices. For the quarter, gold was 74% of revenue, silver 9%, PGMs 8%, other 1% and energy 8%. As you turn to Slide 5, you will see the key financial results for the company. I won't get into the detailed numbers, but the company delivered strong financial results with it achieving records for a number of the key financial metrics during the quarter. As mentioned, the increase in revenue and adjusted EBITDA was predominantly due to the increase in precious metal prices. Adjusted net income and adjusted net income per share also increased significantly in third quarter. Adjusted net income of $152.3 million or $0.80 per share were increases of 50% and 48%, respectively, over the prior year. This increase was a combination of the higher revenue but also to the lower depletion being recorded. Depletion is dependent on the source of gold equivalent ounces sold during the period. For example, Hemlo, which was a significant contributor during the quarter has a nominal book value and thus, there is no depletion associated with the GEOs sold from this asset. With respect to depletion, the company is now guiding depletion expense of between $225 million to $245 million for 2020. Franco-Nevada has always been a royalty company, although it did add streaming to the business model a few years ago. Slide 6 breaks down the mix between streams and royalty revenue for the quarter. The streams that Franco-Nevada has added have been very successful for the company, adding significant top line growth. They have become the largest component of our revenue generating $170.4 million in revenue during the quarter. However, it is royalties, whether mining or energy, which generate higher margin and thus cash flow. As you can see, the costs related to royalties are minimal, with a combined cost of $2 million related to that $109.4 million in revenue generated by royalties. We believe our business model of both stream and royalty assets will allow us to continue to achieve peer-leading EBITDA margins. With respect to margins, the chart on Slide 7 illustrates how the margin for the company increases as gold prices increase. Our mining cost structure, which we reflect in our cash cost per ounce, includes our cost of sales less cost associated with the energy business, which are minimal. As you can see, it does fluctuate, but approximates $275 to $300 per ounce. The average gold price increased approximately 30% year-over-year, but our cash cost per ounce increased to 5%. In a rising gold price environment, we expect to benefit fully as the cost per ounce should not increase significantly. The other cost component for the company besides the cost of sales is our corporate administration costs. Our Board and management are very proud of our focus on cost management. We like to stress the strength of our business model and the scalability. The chart on Slide 8 clearly illustrate our focus on being as cost-efficient as possible in managing this business. Here, we have highlighted our quarterly revenues and our quarterly general and administrative expenses since our IPO. Since 2008, our revenues have grown from approximately $25 million to $280 million this quarter, that is more than a tenfold increase. This while our G&A has remained fairly stable over this period. G&A costs have averaged $5 million to $8 million per quarter for the last 12 years. For Q3 2020, G&A was less than 2.5% of revenue at $6.3 million. Management believes we can continue to add to our portfolio and grow our business without adding significant overhead to the company. Before I turn it over to Eaun, I wanted to provide an update on the CRA audit. With respect to the various audits ongoing, both international and domestic, there are no material changes. The only additional item to note is that the CRA has now added 2016 to the list of years being audited. And now I will pass it over to Eaun, who will provide an update on the recent royalty acquisitions.
Eaun Gray: Thank you, Sandip, and good morning to those on the line. I'm pleased to be able to provide an update on some of our recent royalty purchases this morning. First off, we are very happy to add a 2% NSR on the Rio Baker claims at Salares Norte. This doubles the area that we cover on the project and extends the royalty along strike. We acquired this royalty for up to $5 million upfront and up to $8 million in contingent payments. We see good upside of this project, and it's really one of the few high-quality gold projects currently under construction. Moving to the next slide. We're also pleased to announce the acquisition of a portfolio of 24 royalties from Freeport-McMoRan for $30.6 million. This portfolio provides good gold exposure, including a royalty on Wallbridge's flagship Fenelon project in Québec. We also acquired cash flow and royalty on the Neal Hot Springs geothermal operation in Oregon and a royalty on Peñoles' Milpillas mine in Mexico. The portfolio altogether covers over 60,000 hectares, largely in North America, providing good broad-based geological opportunity in regions that we like. Now moving on in terms of pipeline for new deals, we see the pipeline is quite healthy at the moment. It is also quite diverse, both in terms of deal size and commodity. We're seeing a tendency, however, towards there being slightly more precious metal byproduct deals in the pipeline, but we see very good opportunity in other commodities as well over the next several months. With that, I'll hand it over to Paul to discuss some of the exciting organic growth within the portfolio.
Paul Brink: Thank you, Eaun. The first area I'll cover is the upside of the NPIs in our portfolio. While the steady performance of our NSRs and streams is our bread and butter in a bull market, our NPIs shine, as did the Hemlo NPI this quarter. There are a number of other NPIs in the portfolio. Goldstrike is the most substantial. We haven't seen as much as we'd like from Goldstrike NPI this year, with the Goldstrike material being fed to the mill at a slower rate, but that does leave more material for the future. We have a 5% NPI on Musselwhite that hasn't contributed since the fire in early 2019. The mine is now back in operation with a production rate of about 250,000 ounces a year. And we estimate the NPI will stop paying again in late 2021. 2 other NPIs may come to life. We have a 20% NPI on certain claims at Macassa. And the recent exploration success is expanding the orebody towards those claims. And our 5% NPI in the Pandora PGM operations in South Africa may turn profitable, if these high PGM prices continue. The next item is our growth outlook. Slide 11 shows the expected near-term drivers. Expansions at Stillwater, Tasiast, and Macassa; the construction of Salares Norte and Coroccohuayco all expected to complement the growth from Cobre Panama over the next 5 years. With increased capital available to the sector, the likelihood of development assets moving to production has picked up, assets like Valentine Lake, Hardrock and Stibnite Gold are advancing towards construction decisions and currently not included in our 5-year guidance. It's exciting to see the level of organic growth across the portfolio. Slide 12 highlights recent portfolio updates. I won't cover them all, as I'm sure you're following many of the North American assets, like Hardrock, Stibnite and Island Gold. Less familiar are the Australian assets. Last quarter, I mentioned the expansion from open pit to underground at Duketon in Australia. Another interesting Australian development is Wiluna, also known as Matilda, where we have a 3.6% NSR. Wiluna is currently producing 60,000 ounces per annum from oxide ore, but with a total sulfide resource of close to 6 million ounces. They're currently constructing a sulfide concentrator that allow production of 100,000 to 120,000 ounces per annum by late 2021 and have Stage 2 plans to expand production to 250,000 ounces per annum. The pace of drilling in the gold sector has picked up. Last quarter, I highlighted exploration successes at Detour and Malartic, Valentine Lake and Hemlo, and expect these to contribute to our reserve and resource increases at year-end. 2 reserve and resource updates were received through the quarter. The first at Candelaria. Lundin in their annual midyear update once again increased M&I resources, in particular, reflecting success at the Candelaria Norte underground. The new M&I resource is an 18% year-over-year increase. Lundin have now more than doubled the mine life from the 14-year expected life at the time they acquired the mine in 2014. The second update was from Equinox at the Mesquite mine in California. M&I resources increased by 94%. And the total mineral inventory at the mine is now greater than 2 million ounces. As an aside, we also received news from Equinox of the first gold pour at Castle Mountain during the quarter. The portfolio saw three meaningful exploration successes this quarter. Kirkland Lake has been having ongoing success this year, expanding the ore body at Macassa. In October, Kirkland intercepted 254 grams per tonne over 14.5 meters, extending the South Mine Complex further to the South near the contact with the amalgamated break. We have a variable rate royalty on Premier Golds and Nevada Gold Mines' South Arturo mine that we estimate will be 6% on the sulfide material. On the prior reserves, we expect that South Arturo to contribute for the next 4 years, although they have now discovered material extensions to the El Niño underground that will likely extend mine life when they update reserves and resources at year-end. Skeena Resources continues to have success at Eskay Creek, where they're developing a high-grade open pit. The 2019 PEA indicated production of 2.6 million ounces of gold equivalent at an average gold equivalent grade of greater than 4 grams per tonne. More recently, they're having success at depth initially with the Water Tower Zone and this quarter discovering a new zone Eskay Deeps that lies 260 meters below the prior known mineralization. The drilling success bodes well for our longer-term organic growth or is the most profitable type of growth. The final topic to cover is our available capital shown on Slide 13. Our cash balance is building rapidly. We have working capital of $559 million and no debt. Including our available credit facilities of $1.1 billion, we have a total of $1.8 billion of available capital to deploy on new growth opportunities. Given where the balance sheet now stands, strong cash flow generation and the stock trading below its highest earlier this year, we're not currently planning to use our ATM facility. With that, I'll hand it to the operator, and we welcome any questions.
Operator: [Operator Instructions]. Your first question comes from that to Fahad Tariq with Crédit Suisse.
Fahad Tariq: On Slide 10, where you talk about the Freeport royalty portfolio, can you talk a little -- quite a bit of the large -- the land package is quite large. Can you talk a little bit about how additional discoveries would work in terms of Franco's exposure? And secondly, based on your internal numbers, what was the IRR for this portfolio?
Eaun Gray: It's Eaun Gray here. So this is a portfolio of 24 royalties. And the land package is broken out over a number of those. A very large chunk, however, is covered by the Wallbridge royalty. So Fenelon, their flagship project, but also Martiniere and Northway-Noyon. So that comprises a very large component. And the royalty there is 1% to 2%; 1% on Fenelon, I believe it's 2% Martiniere and 1% on Northway-Noyon. There's variable rates of royalties across the others that have been acquired. And so it's specified in each. I think, we'll provide more granular disclosure with the asset handbook. These are relatively early-stage royalties in a number of cases. The 2 cash flowing are Neal Hot Springs, which is a renewable energy royalty, and Milpillas, which is a copper mine in Mexico. So the IRR for this is something we probably won't disclose directly because a lot of it is really in the option value of these assets and is assessed based on what we think the geological prospectivity is. Assessing it based on cash flow is a tough thing to do at this stage.
Fahad Tariq: Okay. Not a problem. And just one other question on the at-the-money equity program, I believe you raised $20 million in the quarter, I'm guessing perhaps to fund this deal. Can you just walk us through like philosophically why tap that program when there's quite a bit of cash on the balance sheet? And that's my last question.
Sandip Rana: Sure. So when we did implement that program in 2019, we did have debt on the balance sheet, and we completed a deal with Range Resources on the Marcellus. So at the time, the program was implemented to pay off the debt that we had and -- which was done earlier this year. Thereafter, the objective was to build a cash balance on our balance sheet, which is, as Paul mentioned, is a decent size right now of just under $500 million. So at this stage, as was mentioned, we don't intend to use the ATM at this stage.
Operator: Your next question comes from Jackie Przybylowski with BMO.
Jackie Przybylowski: I want to start with just a modeling question, if you can help me out. I guess, specifically with Cobre Panama, because it's a fairly new mine still, the revenues you reported in the quarter were quite a bit higher than what I was looking for. Anyways, can you give us a bit of a sense or some color in terms of like how you expect those deliveries, let's say, in the fourth quarter to play out? Do you expect that to sort of fall back down below the mines production run rate for the next quarter?
Sandip Rana: Sure. So for Cobre Panama, it was roughly 16,000 GEOs for the third quarter. Fourth quarter, obviously, it depends on where they are making shipments and timing of payment for Franco. But I would expect to see at least the same level of GEOs that we achieved in the third quarter.
Jackie Przybylowski: So I guess that would lead me to my next question, which is you mentioned in the MD&A that you expect to be sort at the high end of your previous guidance for the full year. Is there a chance or, I guess, is there a possibility that you could actually exceed that high end of the guidance by a meaningful amount, if production at Cobre Panama is consistent with what we saw this quarter, and I know assuming that Candelaria is back up and running near term, obviously, as well?
Paul Brink: Yes. No, that would be great if we were able to exceed our guidance. Obviously, right now, we're looking at the best available information. There's always assets that surprise us in a quarter, for example, the Hemlo NPI. So again, if the Hemlo NPI or some of the other assets deliver more than what's expected, there is the possibility that we do exceed our guidance.
Jackie Przybylowski: Perfect. That would be a good problem to have, I guess. And maybe I'll just ask 1 final question. Your revenue from gold and precious metals, you disclosed is 92% this quarter and energy only making up a small portion. So I know you get this question every quarter, so I'll take my turn asking it, I guess, is that opening up the possibility? Or is that making you guys think a little bit harder about adding energy royalties to your portfolio in the near term?
Eaun Gray: More so than what the balance is, Jackie. We look to see where the sector is. There's a lot of capital that's been pulled out of the sector. We are seeing some attractive opportunities, moderate in size. So we are actively looking, but it's really driven by the quality of the assets rather than the current commodity mix.
Operator: Your next question comes from Puneet Singh with Industrial Alliance.
Puneet Singh: I guess in terms of the opportunities you're seeing out there on the precious metal side, would you say your focus is more on the lower-priced acquisitions that have a significant future geological potential? Or are there still these larger opportunities out there being shopped by operators that you've been talking about in the previous quarters?
Eaun Gray: It's Eaun again. I would say both. There are interesting opportunities to look at on the larger end of the spectrum, and we continue to evaluate those. But when we see opportunities that are smaller that have the potential to get much bigger, especially in precious metals, we are aggressive in pursuing those as well.
Puneet Singh: Okay. And then just on these smaller ones, do you think like, on some of these newer assets, is it easier to acquire a royalty that's already existing on the asset versus creating a new one with some of these junior explorers from your perspective?
Eaun Gray: Generally, I would say it is easier to buy existing royalties. We'd like to create new royalties. We find there is really good opportunity there from time to time. But at the moment, there's probably more deal flow in the existing royalty space, especially around precious metals.
Operator: Your next question comes from Cosmos Chiu with CIBC.
Cosmos Chiu: Congrats on a very good Q3 here. Maybe my first question is on the NPIs. As you mentioned at Hemlo of the $24 million in revenue, $13 million came from previous quarters. Could you remind me how these NPI contracts work? And could we expect another sort of catch-up in the future quarters? Or is this pretty much it?
Sandip Rana: Sure. So Cosmos, obviously, NPI, net profit interest, so the way the calculation is you are able to deduct your operating costs as well as capital and whatever profit. And on this specific NPI, it's a 50% share that Franco does have. So there's different elements because the NPI does not apply to the whole property. From our standpoint, it's difficult to get some visibility on what the number is. We make our best estimate each quarter. It just so happens with the sharp rise in the gold price in second quarter, the NPI was much higher than what we had envisioned. And it was also a component of the spend on development at the time. So could you have catch-up payments? Yes. So for example, we've made an accrual -- we'll make an accrual for fourth quarter as well. And it could be that, depending upon where commodity prices are, we've underestimated. We could also possibly overestimate. It's not an exact science, but it just so happened that the NPI for the second quarter was much more significant than what we thought it was going to be and hence the catch-up even in Q3.
Cosmos Chiu: So this could happen at, say, Goldstrike as well. Depending on your accrual that you've made at Goldstrike, there could be 1 quarter where there could be a catch-up?
Sandip Rana: There could be -- the thing with Goldstrike is they do provide us a fair bit of information. Hemlo is a little different. It just depends on what sort of agreement you do have. So the likelihood of a catch-up like that at Goldstrike is much less versus a Hemlo and versus for example, at Musselwhite. There, we don't have as much visibility. Our agreement with Goldstrike and information sharing is much better with Barrick at Goldstrike.
Cosmos Chiu: For sure. Maybe switching gears a little bit. Good to see that you've made some acquisitions in the quarter with good potential here. At Wallbridge, I don't know Wallbridge as well. So Eaun, could you maybe walk me through the asset. I don't know how much you can tell me about, like Fenelon, and the timing here, what are they saying in terms of potential production? And how do the other 2 kind of fit into the whole scheme of things, Martiniere and also Northway-Noyon?
Eaun Gray: Cosmos, it's Eaun. So Fenelon is where they're very much focused at Wallbridge. I'd point you to their recent presentations. They've got some excellent presentations outlining the project. But maybe I could just quickly highlight. There are a few zones there that we've called out in the presentation, and they're looking at both open-pit potential and high-grade underground. There is already a ramp into the deposit, and they have taken a bulk sample. So it's one, from a geological perspective, we find very interesting, and we see there being very good upside, but it is still early. So exactly what it's going to shake out to be in the time line, it is tough. But it's in an excellent jurisdiction in terms of building a mine. And I understand that they've already put a bunch of the steps in place so they can permit it relatively rapidly. But the plan right now is for resource, I think, in the second half next year. Don't quote me on that, but that's my reflection.
Cosmos Chiu: Okay. And then the other two, Martiniere and Northway-Noyon. How do they kind of fit in? Or are they separate?
Eaun Gray: They're separate. They're geographically distant. There's different royalty rates at Martiniere. The company does seem to be spending some time on Martiniere, less so on, let's call it, N2. But they both have historical resources and are in a great jurisdiction. So we're always happy to pick up that kind of an asset for optionality within the portfolio.
Cosmos Chiu: For sure. And maybe just one last question here. I'm just trying to confirm my mathematics here. You talk about your guidance, $475 million to $505 million for the year. And it looks like you're trending to the top end for sure. But of course, there is that X factor called Candelaria. But Candelaria did about 20,000 GEOs in Q3. So worst-case scenario, even if say it doesn't come back or there's minimal contribution in Q4 based on simple math, you could still potentially hit your guidance. So Candelaria just really a factor of, are you going to hit the bottom end or the higher end, is that a good understanding here?
Sandip Rana: Yes. So I guess, the way we look at it is, if Candelaria resumes production in the near term, we think we'll be at the higher end of the guidance. And if not, more towards the middle. Obviously, the other X factor in this is -- are the NPIs. And if gold price continues to rise, they could perform better than they have previously. And so that would add additional upside to our performance. And as I said, potentially exceed guidance.
Operator: Your next question comes from Mike Jalonen with Bank of America.
Michael Jalonen: Just had a question, Paul, Sandip, Eaun, on Golden Highway. What's the quarterly revenue contribution that Franco is foregoing at the moment? I know you'll get it eventually, reserves are in the ground forever unless it gets mined. And secondly, has Kirkland Lake given you any indication what -- why -- what steps would be required to -- well, what has to happen for the mines to reopen? What are they -- there must be something.
Paul Brink: Mike, it's Paul. I don't have an exact number in terms of the revenue there. It is one of our smaller assets. It's a smaller producer. And don't have much guidance in terms of the moving pieces there, all the timing on Golden Highway. The company has reported they are considering their alternatives with the asset. So where there is core for them ongoing or not, I'm uncertain. I'm sure, in due course, it will be up in operation, but don't have a lot of guidance on the time line or what it will take to get there.
Operator: Your next question comes from Brian MacArthur with Raymond James.
Brian MacArthur: My question goes back to what Cosmos was asking on the Hemlo NPI. So just so I understand this, the $13 million is the true-up from the period before. Is that essentially what you're doing is you're accruing? And then you actually get the cash payment in the door and the $13 million is -- that cash is coming in this quarter? What I'm trying to figure out is your accruing but when the cash is actually coming in from this NPI because, obviously, there's ongoing spending that affects what the operator decides to do, when they actually pay that out and how you actually get the cash in on all this.
Sandip Rana: Sure. Brian, Sandip here. Yes, you're right. So what happens is each quarter, we will accrue what we believe is the NPI amount. And then the operator, Barrick, will make payment to us in the middle of the following quarter. So for example, the accrual that we would have done for third quarter, we will receive in November, and it's -- that's all paid in cash. And at that time, then we will do a true-up. And so it just so happened that we made an accrual in second quarter, and then we were paid subsequent to second quarter, and the amount was significantly higher than what we had accrued. Again, we've made an accrual for third quarter and there is the possibility that the accrual could be too high or too low. We will find out in the next few weeks when we receive the statement and the cash associated with the NPI.
Brian MacArthur: But you're never giving cash back. You just...
Sandip Rana: No, no. We do not. It just carries. So if we're to -- and Hemlo NPI has been with us since 2000, when we went public. It just so happens that it was in a deficit position, and then it achieved profitability a few years ago.
Brian MacArthur: Right. Because you're making estimates of the capital and all the rest of it, which is flexible. So you just accrue. And if you get it wrong, it just can get less the next quarter or whatever. There's no cash true-up. Interesting. Okay.
Sandip Rana: There's no cash we have to return. Correct.
Operator: [Operator Instructions]. Your next question comes from Greg Barnes with TD Securities.
Greg Barnes: So Sandip, is there a way to provide some idea of what the NPI run rate would be at a $1,900 gold price going forward? Maybe not just the Hemlo, but for the group of NPIs that you have.
Sandip Rana: It is something that we will look to do. And potentially, as part of our guidance that we issued in the first quarter with our year-end results, something that we could provide.
Greg Barnes: Would you do that by asset or just as a lump sum number across all of the NPIs?
Sandip Rana: Likely a lump sum number.
Greg Barnes: Okay. Any quantum around what number would be for Q4?
Sandip Rana: Q4, I'd have to take a look. But -- let me take a look. I don't want to give a number off the top of my head.
Operator: [Operator Instructions]. So Candida Hayden, there are no further questions at this time. Please proceed.
Candida Hayden: Thank you, Veronica. We expect to release our year-end 2020 results after market close on March 10 with the conference call held the following morning. Thank you for your interest in Franco-Nevada. Goodbye.
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you for participating and ask that you please disconnect your lines. Thank you.